Operator: Good afternoon, ladies and gentlemen, and welcome to the Cannae Holdings, Inc. Fourth Quarter and Full Year 2022 Financial Results Conference Call. During today's presentation, all parties will be in a listen-only mode. Following the company's prepared remarks, the conference will be open for questions with instructions to follow at that time. As a reminder, this conference call is being recorded and a replay is available through 11:59 pm Eastern Time on March 1, 2023. With that, I would like to turn the call over to Jamie Lillis of Solebury Strategic Communications.
Jamie Lillis: Thank you, operator and all of you for joining us this afternoon. On the call today, we have our Chief Executive Officer, Rick Massey, Cannae's newly appointed President, Ryan Caswell; and Bryan Coy, our Chief Financial Officer. Before we begin, I would like to remind listeners that this conference call and the Q&A following our remarks may contain forward-looking statements that involve a number of risks and uncertainties. Statements that are not historical facts, including statements about Cannae's expectations, hopes, intentions or strategies regarding the future, are forward-looking statements. Forward-looking statements are based on management's beliefs as well as assumptions made by and information currently available to management. Because such statements are based on expectations as to future financial and operating results and are not statements of fact, actual results may differ materially from those projected. The company undertakes no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise. The risks and uncertainties, which forward-looking statements are subject to, include, but are not limited to, the risks and other factors detailed in our quarterly shareholder letter, which was released this afternoon and in our other filings with the SEC. Today's remarks will also include references to non-GAAP financial measures. Additional information, including a reconciliation between the non-GAAP financial information to the GAAP financial information is provided in our shareholder letter. I would now like to turn the call over to Cannae's Chief Executive Officer, Rick Massey, who will open with a few brief remarks and then open the line for your questions.
Richard Massey: Thanks, Jamie. And welcome to our fourth quarter 2022 call and our full-year 2022 call, I'm Rick Massey. I'd like to introduce -- formally introduce our new President, Ryan Caswell, who is here with us. He is moving instead of David Ducommun who is moving onto FNF. We will miss -- Ducy was a fantastic President. I think he's going to also add a great deal of value to FNF, but I'm very excited to have Ryan as a -- my partner Ryan as our new President. I think you will find him to be very straightforward and intelligent human being. I'm just going to hit a couple of highlights from the quarter and then be happy to kick it open to questions. So we bought back in the fourth quarter of 2022, the main highlight is we bought back 2.3 million shares. I think the average price was about $21 and -- $21.5, a little lower than that, below $21.
Bryan Coy: Yep. $20.96.
Richard Massey: $20.96, okay, there we go. And that was $51 million of proceeds. So for 2022, we told you we were going to buy back shares and we bought back 10.8 million shares, that's 12% of the outstanding as of December 31, 2021, which is when we really accelerate -- started accelerating our buyback program. You may recall we accelerated that after our conference in Las Vegas early -- week early on December 20, 2021. So since we embarked on our repurchases, we bought back about 15.6 million shares and that's 17% of the then outstanding and about $400 million return to our shareholders. Unfortunately, the gap between our stock price and our liquidation value didn't close. We thought -- we had hoped that the gap would close significantly when we showed aggressive buybacks, but it just didn't happen. But nonetheless, we returned a lot of shares, a lot of cash to shareholders. We closed the last leg of our AmeriLife Transaction in November of last year. We still retain a 29% portion of AmeriLife and we're booking that at $95 million. We are excited about that -- about AmeriLife going forward and we are, obviously, are very exciting for the accomplishments where we received a MOIC of 2.7 times our money. So -- and that was in really just about three years. So not a bad -- not a bad trade for us. Caswell is up here, and I assume remains on the Board of AmeriLife. He's does remain on the Board, but it was still that they did a nice job in bringing in some new investors at a very nice valuation. I guess, it's kind of a sign of the times that we're bragging on selling one of our portfolio securities for a loss, but we did that. We sold Cannae shares for $27 million in cash and up -- as you know there has been a split, so how many share -- where they split and how many shares do we sell?
Bryan Coy: We sold 19.2 million pre-split.
Richard Massey: Okay. 192 million dollars pre-split and that's like 1.6 million. There's 12 to 1 post square.
Bryan Coy: Yes.
Richard Massey: Okay. And that gave Cannae, why did we do that was because we had gains, we were carrying tax gains, taxable gains on the sale of AmeriLife and on some CDAY. And we -- it was just -- we thought it would be bad portfolio management. It was not good portfolio management for Cannae to pay taxes when they had these fairly large unrealized losses on their balance sheets. So we peel some of those shares off and sold them. As a result, Cannae is not going to be a taxpayer in 2022. And so we'll get a refund of our advances. The unfortunate problem for partners of Trasimene is that knocks a big hole -- that realized loss knocks a big hole in our ability to get carried interest, which is how we get paid. And probably most portfolio managers wouldn't have done that for that reason, but we just -- we wanted to do the right thing here and not have Cannae pay -- it was silly for Cannae to pay taxes. We sold 1 million shares of CDAY, Ceridian for roughly about $78 million a share. That is a, believe it or not, a 13 times multiple, given that we invested in like 2007. So it's still a great return for us. We own 5 million shares now of CDAY, for those who are counting. We closed in November 16, 2022, we closed our investment in CSI, our Computer Services. It's a really nice kind of a small bank core processor located in Kentucky. Bill and I both and Frank Martire, he sits on our Board, former CEO of Medavante and FIS, all covered this business back in the day, but they would never sell. And finally, they decided to sell -- and when they decided, we were not front and center on it, but Centerbridge was. And Centerbridge was kind enough to let us put about $86 million in the deal. We are excited about our prospective returns on CSI. There may be some opportunities to do follow on investments as they look at some M&A and they have some in their sites. So we could get to put a little bit more in. It will just depend on what the target is and how they -- how Centerbridge wants to value the business. As you are probably all aware, we invested 51.1% of the necessary equity to acquire an English Premier League Football Club, ASC Bournemouth and that is, we paid roughly 0.8 times revenues on that, way, way below the comps. One of the reasons for that is that the business had been frankly pretty in -- the business side of the soccer team have been undervalued, under managed by the management team, [indiscernible] management team and I mean ticket sales, gear sales, food sales, all the other hospitality stuff that were just no attention paid to it. And this company was performing on those areas well below its peers and we are very confident that Bill and his team and Ryan who is our partner dispatch on the project will turn the business side around. And as you are probably aware if you followed it, they bought, Bournemouth bought -- signed up several new players with an effort -- in an effort to try to stay in the Premier League and they're playing a lot better than they had in the past. So we're knocking on wood, they don't get relegated and this thing performs really well for us. This is not like a family heirloom deal, this is deal as an investment. And if you've seen any news about what people are paying for these teams now, you can see that we got a bargain and we should be able to make quite a bit of money on it. So Ryan will go into more detail, if you're interested, but we've got the FNF credit facility that we use to buyback that -- essentially we used to buyback 5% of the company during our buyback period at a deeper discount than we were paying -- quite a bit deeper than we were paying in the market. And essentially used the credit facility from FNF to pay for those shares, that $85 million. And that's turned out [Multiple Speakers] we have to pay it back on an amortization schedule now. And then we've got a margin loan of $250 million, that's fully available. And we've got $272 million in cash and short-term investments as of now. I don't think that's all available to go buy back shares or do deals, because we've got expenses and some follow-on investments and so forth that we're probably going to need to do. So it’s hard at this stage to tell you how much is really available for future purposes, but we'll know more by the end of the quarter. I don't want to take up too much of your time going through our entire portfolio. Just a couple of highlights, Dun & Bradstreet reported their fourth quarter numbers. We are their largest shareholder. And they disappointed the market although it didn't disappoint us. They were in the range of their guidance. Now what really hurt them were really three things: one, foreign exchange had a very, very substantial impact, negative impact on revenues and EBITDA; Two, the business lost a contract with the GSA, which probably cost it a [$0.5] (ph) million of organic revenue growth; And three, the marketing portion of Dun & Bradstreet is -- they're all under a little [indiscernible], all the marketing, all digital marketing businesses, if you've been watching, from Google on down had been under a lot of stress, because of digital marketing budgets are some of the first to go as when management teams are looking to cut costs. And so, we're just not seeing the budget, the expenses -- the budget expenses on these items. And I don't know how long that's going to last. That phenomenon is affected as you'll see effected System1's results. We own 200 -- we have $272 million of basis in System1. The other -- and the good news is as I'm finishing is Alight. Alight had a fantastic quarter, they announced it yesterday, the stock at one time is up around 10%. They showed -- and probably they are up because of their guidance for 2023, which would show 11% to 12% revenue growth and 12% to 13% EBITDA growth and margin expansion. And they announced several new big logos like GE, all three GE's [indiscernible] and Exxon and quite a few others. So this company is really humming. We're very, very proud of the management team there. And there is no doubt that this is the most undervalued of all the stocks in our present portfolio. And there will be some secondary sales probably from some of the other holders, larger holders, but I don't -- Bill and I both don't have no intention of selling down at this depressed level. So did I miss anything that I should cover, Bryan or Ryan?
Bryan Coy: I think…
Richard Massey: Okay. I'm going to stop there and open up for questions. Thank you much.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. And our first question is from John Campbell with Stephens Inc. Please proceed with your question.
John Campbell: Hi guys, good afternoon.
Richard Massey: Hey, John.
John Campbell: Hey. So first off, Ryan, congrats on the promotion. Looking forward to working with you. I saw you guys provided your cash balance as of yesterday, I think it was $272 million. Also saw where you guys are -- have paid or may be expecting to pay the $40 million for the White Night Football commitment in the first quarter. Does that cash balance that you guys provided, does that include the payment or is that yet to hit?
Bryan Coy: The cash payment that's coming. Yes, we've already paid the one that was in the first quarter, that was first week of January, there's only one left that's in probably the third quarter of this year.
John Campbell: Okay.
Bryan Coy: That's about $40 million.
John Campbell: Okay, all right. I want to go maybe high level here. Just looking for some insights on your vision for both Black Knight football and CSI. So maybe just starting off on Black Knight football, if you could help frame-up the type of returns you guys expect over time. And just also just how large do you envision this organization getting over the long haul.
Richard Massey: I'll let Brian go through that. I'll just say we sort of view this as a -- everything sort of a multiple of money and the forecast that we showed our Board to support the investment in Black Knight football. We were looking at sort of a 3 times to 3.5 times MOIC in five years. On CSI, I do want you to hear from Ryan on the football team. On CSI, that's probably another five-year hold, there's a lot of work to be done, a lot of little tuck-in acquisitions and then we expect that the likely suspects will love to -- would love to come in and buy this things. So that too is kind of a 3 times your money in five years, sort of, deal. Very, very low -- I mean, quite -- not a lot of risk in this business and that business and we think that the demand for it will be -- will increase. And Ryan is going to talk about the football team.
Ryan Caswell: Yes, just a little bit more details on how we think about that, as Rick mentioned in the opening, we think we've got a really good price, we paid roughly GBP100 million for the purchase price of the small earn-out. If you look around the Premier League, kind of, the next cheap business kind of mid GBP200s million and then it's probably closer to GBP500 million per team. So we think we're in a very attractive value. As Rick mentioned, there's a lot of work both on the commercial side, infrastructure. We're also, as you probably saw, we made an investment in FC Lorient, which is a League 1 so the French team, the first league in France. And we're looking at other league to really try and bring down the cost of players. And there's a lot of work around that, both in terms of how you put that together and how you effectively kind of get talent from those to the Premier League. I think an example is Bournemouth did buy a player in the transfer window from FC Lorient, you can kind of understand the pieces of how it works. But look, we think there's a lot of work to do but as Massey said, we think there's a lot of upside to it, but we got to over time keep the team in the Premier League, as well as kind of build out all these ancillary revenue streams and investments.
John Campbell: Okay, that's helpful. I've got one more and I'll hop back in the queue. I mean, I've got a lot more work to do when kind of building out a valuation framework for club valuations. But with Bournemouth, it sounds like you guys presented a five-year multi-year kind of forecast of returns, which you guys are expecting. Just out of curiosity, how impactful is the relegation event for smaller EPL teams? I mean, clearly we're pulling for Bournemouth as they hit kind of the homestretch here, but if there is an event of relegation, how does that affect?
Richard Massey: The word existential comes to mind for me, that may be a little dramatic.
Ryan Caswell: As you might imagine, we did a lot of work on that. We think the -- we actually looked at different chance of the second level of championship. We looked at team there. Frankly, we don't think our value is that far off even where some of those teams trade, but there is a bunch of work that you can do. There is -- and again, I'm happy to talk to you some more detail but there is basically parachute payments, which are payments that go to relegated team, that gives you a very large advantage in the short term. So we think that given the work that we're doing, even if we were to get relegated, there's a way then we have an advantage to bounce back up. But there's clearly a difference in value. But we believe we have the right people and kind of infrastructure in place to hopefully not get there and if we do to kind of mitigate that and bounce back within kind of a year or two.
John Campbell: Okay. Very helpful. Thanks guys.
Richard Massey: Thank you, John.
Operator: Thank you. And our next question is from Ian Zaffino with Oppenheimer. Please proceed with your question.
Isaac Sellhausen: Hey, good afternoon. This is Isaac Sellhausen on for Ian. Just another follow-up question on Black Knight football and congrats on the FC Lorient investment as well. Is there any option, I guess, in the agreement for Cannae to acquire more than the 50% in investment or ownership, I should say in the Black Knight football partnership?
Richard Massey: No, we have a -- the right to participate in any future offerings on a pro rata basis, as you probably would expect. But no, we didn't want to own more than 51%.
Isaac Sellhausen: Okay, got it. Thank you. And then I guess the bigger question. I guess, what other areas of the market outside of sports leagues either private or public look [indiscernible] at the moment for you guys. I guess the Computer Services investment was the most recent one in the technology space. But I guess there is anything in other sectors that you're looking at or have an eye towards?
Richard Massey: Yes. Well, I mean, I'll just say, kind of, categorically, there are quite a few technology software companies, I'll call them verticals not enterprise software company, but vertical software companies in the areas that we like are supply chain, health care and so forth that are trading way below their IPO price. And what's fascinating is, we've seen an inversion public valuations and private valuations, where the publics are substantially lower and we're starting to see LBOs happening and we see some opportunities without naming names, we see some opportunities in there. They are sort of smaller $1 billion to $2 billion usually software or tech-enabled services companies and in areas like health care with big, big market share. So we like those a lot. Unfortunate problem is to make them work you usually got put some debt on the balance sheet and the market for high yield is still pretty [indiscernible]. So we're not -- we don't have anything imminent for that purpose, for that reason. We are mostly just trying to keep staff warm for when debt capital markets come back somewhat.
Isaac Sellhausen: Got it. Okay, thank you for your thoughts. And then last question actually you guys have been active buying back stock. Just quick question, what is the, I guess, the remaining amount on the buyback authorization?
Richard Massey: 9 million. Little short of 9 million shares.
Isaac Sellhausen: Okay, got it. Thank you.
Richard Massey: Is that right, Bryan?
Bryan Coy: Yes.
Operator: And our next question is from John Campbell with Stephens Inc. Please proceed with your question.
John Campbell: Hey, guys. Me again. I got two quick ones here. How much of a commitment for FC Lorient and I don't know if you guys disclosed the percent ownership.
Richard Massey: We didn't disclose it.
John Campbell: Okay.
Richard Massey: It's a minority, but it's a substantial minority. And we got the right to own more. And I think basically we got the write down control, correct? [indiscernible] maybe, maybe not.
Bryan Coy: It's a different liquidity options.
Richard Massey: We've got different liquidity options.
John Campbell: Okay, helpful. And then really good work on the successful AmeriLife monetization. It sounds like you guys retaining about 5% of that interest. Are there any lingering payments. I mean, what more proceeds you guys expect from here, is that $243 million [indiscernible].
Richard Massey: No, we're done. It was a great [indiscernible]
John Campbell: Okay, that's all I got. Thank you, guys.
Richard Massey: Thank you, John.
Operator: Thank you. And our next question is from Kenneth Lee with RBC Capital Markets. Please proceed with your question.
Kenneth Lee: Hey, good evening, and thanks for taking my question.
Richard Massey: Hey, Ken.
Kenneth Lee: Hey, how's it going? Just one on Black Knight football again, in terms of the LP interest, is there any kind of expected revenue streams in the interim, or should we consider this as similar to either an equity kind of investments? And also as well...
Richard Massey: We don't expect that dividend or any sort of revenue streams out of that asset at least not in the foreseeable future. They're going to need the capital for operations and players and so forth.
Kenneth Lee: Got you. And just relatedly any financial commitments or obligations otherwise.
Richard Massey: With respect to Black Knight football?
Kenneth Lee: Yes, with Black Knight football.
Richard Massey: We’ve disclosed our obligation...
Kenneth Lee: Yes. It's $40 million.
Richard Massey: [Multiple Speakers] in the summer time, other than that, there's nothing.
Kenneth Lee: Got you. And one final follow-up, given the ownership of FC Lorient and FC Bournemouth and you -- I think you alluded to having a minority ownership in FC Lorient but then that could be converted to a majority ownership down the line. Is there any kind of potential impact from the [indiscernible] rules around multi club ownership and participation and I think the Champions League and things of that sort.
Richard Massey: [Multiple Speakers] Hey, Ken, ready to go, man. That was the question of the day. You're going to start [indiscernible]
Ryan Caswell: I like where that question is going more than the first one. As of now, given where teams are, the Champions League ambitions are probably a bit away, but obviously or maybe not obviously, if the teams -- you can only have one team that's playing in the Champions League. Neither of our teams are there today, Lorient closer and we don't, as you said, we don't control it. But I think it is something that we thought about, our team need to perform quite a bit better before that's something we really need to worry about. We hope that they do, by the way, may be a high quality problem.
Kenneth Lee: Got you, got you. Fair enough. Thanks again. Really appreciate it.
Richard Massey: Thank you, Ken.
Operator: As there are no further questions at this time, I would like to turn the floor back over to Cannae Holdings management for closing comments.
Richard Massey: Thank you very much interested parties and shareholders in our story. We're working really hard to create some value for our shareholders. And never hesitate to give us a call, if you've got more questions. Thank you very much.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.